Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining 2025 First Quarter Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to David Medilek, President and COO. Please go ahead.
David Medilek : Thank you, operator. And thanks, everyone for attending K92 Mining's 2025 first quarter results conference call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director; and Justin Blanchet, Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in the United States dollars unless otherwise noted. Now, I'll turn it over to John to provide you with an overview.
John Lewins : Well, thank you, David. And welcome, everyone. We begin, as always with safety, very much K92's number one priority. I'm pleased to report there have been no lost time injuries recorded for the first quarter, marking yet another major safety milestone with now seven consecutive zero LTI quarters. During this time, two independent safety audits were completed, and from those audits, a number of actions have been identified and many actions have already been taken and completed. Concurrently, there's been a major focus within the organization on reinforcing the safety-first culture. Our employees have responded well, with a significant increase in hazard identifications and risk assessments completed. Our safety team has been expanded on site. Safety technologies have been enhanced, and more technologies are planned to be introduced in the near future. And as stated in the previous conference calls, we take the increased lost time injury frequency rate in 2023 extremely seriously, while also noting that historically K92 has operated one of the best safety records in Papua New Guinea and the broader Australasian region, as shown in this slide. I'd like to reiterate that K92 relentlessly pursues our goal of achieving zero harm among our workforce. Earlier this month, the inaugural K92 CARES award ceremony was held in Port Moresby, where we recognized and celebrated outstanding individuals and teams within our organization that have demonstrated and exemplified our vision, mission, and most importantly, our values. CARES is the acronym for our five values that we strive to uphold. Collaborative Teamwork, Accountability in everything we do, Respect others, Excellence in outcomes, and Safety always. Winners receive a formal certificate and a cash prize in recognition of their outstanding contributions. The ceremony was attended by several government officials, including Jerry Garry, Managing Director of Mineral Resources Authority of Papua New Guinea, who delivered an inspirational closing speech, as shown there on the image on the right. The event was also featured in local media, including on television and on the news. And the CARES awards are part of our ongoing commitment to building a strong, values-driven culture at K92, where our people are recognized, celebrated, and empowered to lead by example. Moving on to operational performance, during the quarter, the Kainantu Gold Mine produced 47,817 ounces gold equivalent, with cash costs of $559 per ounce gold and all-in sustaining costs of $1,010 per ounce gold, or on a co-product basis, cash costs of $616 per ounce gold equivalent and all-in sustaining costs of $1,048 gold equivalent. This marks the second highest quarterly production on record and represents a 74% increase compared to Q1, 2024. As annotated on the chart, all-in sustaining costs have been notably higher than cash costs since the beginning of 2023 due to K92's ongoing considerable investment in the Stage 3 expansion, with costs expected to decline considerably after delivering the expansion, which will be discussed later in the presentation. In terms of throughput, a total of 103,449 tonnes was processed at a head grade of 14.9 grams per tonne gold equivalent. The elevated head grade was significantly above budget, benefiting from higher grade stops from both Kora and Judd, as well as a positive gold reconciliation relative to the latest independent mineral resource estimate. Images you can see here are shown from Judd, an example of some of the high grade areas that were mined. In terms of key operational quarterly physicals, total material mined was the second highest on record, with plant throughput optimally reduced to maximize recoveries due to the high head grades. The last few quarters have also provided us with the opportunity in the underground mine to priorities waste development for the Stage 3 expansion, resulting in a record 211,000 tonnes of waste being mined. On development, a new monthly development advance record was set in March, with 954 meters achieved, 6% greater than the previous monthly record set in Q4, 2024, and nearing the Stage 3 expansion run rate of 1,000 meters per month. Development rates are expected to continue to improve in 2025 on the back of various key enablers being fully integrated. And these include the Power Upgrade, which was completed in Q4, 2024, the interim primary ventilation upgrade, which was completed in January. This resulted in a 50% increase in airflow, which was notably higher than the 30% increase expected, confirming that the modeled airflow resistance factors for the expansion are conservative. The second stage of the Interim Water Upgrade which was completed again at the end of January, providing clean water service to the main mine. The number of available headings has also significantly increased and will continue to increase through the year, driven by opening additional mining fronts. Also of note, high-speed development experts have been hired, and we will have additional Jumbos within the company to be introduced as we require them. Working with those High-Speed Development experts, a major focus continues to be placed on an enhanced maintenance program to increase equipment availability. And then concurrent with these enablers, we are on the cusp of a productivity technology leap forward, with the underground fiber optic network nearly completed. This will unlock multiple productivity improvements in the coming months, including Surface Remote Loading, Real-Time Fleet Management Systems, Personnel Tracking, and introduction of Deswik OPS for enhanced short-interval control. As previously mentioned, throughput during the quarter was deliberately reduced to maximize recoveries due to the high head grades. Q1 achieved very strong recoveries of 95.8% for gold and 95.1% for copper, both near records. Recoveries for the last four quarters have been notably higher than the updated DFS. This performance is driven by an improved reagent mix, while also benefiting from higher gold head grades in the second half of 2024 and the first quarter of this year. The strong performance of the Stage 2A plant bodes well for the Stage 3 plant, which is a more optimal circuit design, improved technologies and instrumentation, including online analysis. The multiple, daily, weekly, monthly throughput records well above current design demonstrates the significant potential upside of a Stage 3 process plant. Notably, Stage 3 was designed using the same conservative parameters as a Stage 2A plant. To better realize the potential, the Stage 3 plant under construction includes design allowance for cost-effective expansion through upgrades to flotation and filter press capacity. We believe these upgrades will enable the plant to achieve the 1.8 million tonnes per annum throughput required for the Stage 4 expansion, allowing the Stage 2A plant to be repurposed for alternate feed sources. I'll now turn the call over to our Chief Financial Officer, Justin Blanchet, to discuss our financial results for the first quarter.
Justin Blanchet : Thank you, John. And hello, everyone. During the first quarter of 2025, we had record quarterly revenue of $144.6 million, an increase of 142% compared to Q1, 2024. We sold 45,886 gold ounces at an average selling price of $2,739, compared to 27,996 ounces at an average selling price of $2,016 in the prior year. As at March 31, 2025, there were 4,425 gold ounces in inventory, including both concentrate and doré, a decrease of 536 gold ounces when compared to December 31, 2024 due to timing of sales. During the first quarter of 2025, cost of sales was $34.1 million compared to $40.1 million in the prior year, or $27.4 million compared to $32.9 million when excluding non-cash items. Lower cost of sales was primarily due to a higher proportion of capital tonnes mined relative to operating tonnes, resulting in increased capitalization of development expenditures when compared to Q1, 2024. Q1, 2025 cash flow from operating activities before changes in working capital was $80.9 million compared to $20 million in the prior year, a new quarterly record. As of March 31, 2025, we had $182.1 million in cash, cash equivalents, and term deposits, while spending $30.9 million in expansion capital during the quarter. We had a record working capital balance of $187.7 million and a record net cash balance of $123 million. The company also has a debt balance of $60 million. During the quarter, the company drew $20 million from the Canadian credit facility and repaid the Papua New Guinean credit facility in full. As a result, the company no longer holds any cash designated as restricted cash for the purposes of security under the loan with Trafigura. As John mentioned, during the quarter, the Kainantu Gold operations produced 45,735 gold ounces, 1,141,379 pounds of copper, and 34,085 ounces of silver, or 47,817 ounces of gold equivalent. We sold 45,886 ounces of gold, 1,069,373 pounds of copper, and 32,439 ounces of silver. Net of by-product credits, we incurred a cash cost of $559 per ounce and an all-in sustaining cost of $1,010 per ounce of gold, which was significantly below our realized selling price of $2,739 per ounce. Our first quarter by-product cash cost per ounce of gold decreased to $559 from $934 in Q1, 2024. The decrease was due to significantly higher gold ounces sold, increased capitalization of development expenditures due to a higher proportion of capital tonnes mined relative to operating tonnes, and lower variable costs associated with reduced throughput. These were partially offset by lower by-product credits. It is important to note that we will see a downward pressure on costs via economies of scale as operations ramp up and Stage 3 expansion is complete. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins : Well, thank you, Justin. For the exploration and growth section, we begin with an update on the Stage 3 and Stage 4 expansions, which plan to fundamentally transform K92 into a Tier 1 mid-tier producer through sequentially increasing production to over 300,000 ounces gold equivalent per annum with the commissioning of the Stage 3 expansion, targeting the second half of second quarter 2025 to start commissioning, and then to over 400,000 ounces gold equivalent per annum with Stage 4, targeting the second half of 2027. As at the end of April, 77% of the growth capital had either been spent or committed, with a significant portion of the project on a fixed price lump sum basis. Importantly, the project is fully funded and our financial position is strong. K92 is a cash balance at the end of Q1 of $182 million in cash. We’ve also have access to significant amounts of liquidity through undrawn credit facilities, with $60 million available to draw down on demand, plus an additional $30 million of liquidity through an accordion feature. The recent record levels of production and the record gold price environment has resulted in strong free cash flow generation. As Justin noted, our net cash balance has significantly grown during the last three quarters, even after considerable capital expenditure during that period. Lastly, our commodity price downside is protected through the cost-effective purchase of put option contracts. Earlier this month, for a little under $4 million, or $33.25 per ounce, we purchased put option contracts covering May until the end of 2025 for 15,000 ounces of gold per month at $3,000 per ounce, to protect against downside price risk. But to be clear, it's not a hedge. We will sell at spot if it is higher than $3,000 an ounce. This is an insurance and we retain full exposure to the upside in the commodity price. In summary, our financial position and outlook is strong. We'll now provide an update on the construction progress for the Stage 3 expansion. Starting with the underground, the Twin Incline is complete. The first ore pass has been developed and is on schedule to be fully operational in Q3. The Puma Incline is approximately 200 meters of development remaining and is scheduled for portal breakthrough in Q3. On ventilation, our raised bore is completing a two-leg fresh air rise. With the first leg completed, the second leg is being developed and on schedule for completion mid-2025. Upon completion of the Puma breakthrough and the ventilation raises, we expect each will contribute an additional 50 cubic meters per second of airflow to the circuit, representing a combined 60% increase to airflow from current levels. Due to the previously conservative modeled mine resistance factors, we now expect to not need the new primary vent fans to meet Stage 3 vent requirements. These fans are really needed for Stage 4, so our plan is to opportunistically install them in 2026 to minimize any disruption. On pastefill, commissioning is targeted to commence in late Q4. While the infrastructure is being transformed, so is the number of mining fronts, with a significant increase underway to drive the ramp-up. It's important to highlight that for several quarters we have leveraged the high head grades to priorities waste development, with Q1 marking a record for waste tonnes mined. This has resulted in a notable increase in our inventory of areas ready for long-haul stopping, which we will leverage in the second half of the year as we ramp up ore tonnes for the Stage 3 expansion. We now move to the latest drone footage, taken just a few days ago from the construction site of the 1.2 million tonne per annum Stage 3 expansion process plant. Starting at the dry end of the plant, in the foreground the ROM pad continues to get built with waste rock. At the crusher, the ROM bin and the crusher mechanical and structural installation is complete. Installation of wing walls and electric fit-out is underway. The conveyor to the surge bin is complete. The surge bin and reclaim area are also structurally and mechanically complete. On the far side of the surge bin out of view, work is underway on the motor and belt installation. Pre-assembly of the conveyor to connect to the grinding circuit is complete and installation will commence shortly. The high voltage switch room is installed, including HV cables to their respective crusher and grinder switch rooms. Temporary power to expedite commissioning is also being installed. Commissioning of grid power to the process plant is planned for June. At the grinding circuit, both the SAG and Ball Mill shells and heads were installed last month. Preparation of girth gear and bearings is ongoing. High pressure lubrication piping is practically complete for both mills. 80% of all rubber line piping at the mill area has been installed. Electrical installation is ongoing. The cyclones and the MCC are complete. For the flotation area, all mechanical, structural and tanks are installed. Major Cable routes have been completed. Final grouting of mechanical equipment and level piping spools is 95% complete. Electrical installation is ongoing. The multi-stream analyzer is installed with piping mainly completed. In terms of the thickeners, the concentrate thickener is complete. The tailings thickener construction is complete, has been sealed and is ready for final hydro test. For the concentrate, filter presses, all structural, mechanical and tanks are installed with piping and electrical installation ongoing. As at the end of April, 87% of the Stage 3 process plant construction is complete. In terms of the ancillary buildings, the interim power station and warehouse are complete. The new Kumian Creek Camp is also almost complete. All rooms are installed and available for occupation. The final project is the kitchen and dining facilities. Now this has added an additional 160 En-suite Rooms. The camp is initially being used for excess capacity during construction and will then obviously be repurposed to provide accommodation for Stage 4 expansion. The primary power station is progressing well, with civil works advanced for the genset installation, plus all the underground electrical conduit having been installed, tested and are now complete. Stage 1 commissioning is planned to commence in June. In terms of the new maintenance facilities, all structural steel and buildings are on site. The main workshop is progressing well, with the foundations and footings poured as shown in the image. On the pastefill project, the underground paste plant construction contract has been self-awarded. Tailings filtration plant, surface storage system, earthworks are progressing and the award of the contract for these two packages is planned for later this month. All long-lead items have been ordered. Front-end engineering design work is complete. Completion of detailed engineering work and design by GR Engineering is nearly complete, and Quattro Engineering is well advanced. In the first quarter, we were honored to host a delegation from the Morobe and Eastern Highlands Provincial Governments, where our various licenses and leases are located. In February, we welcomed a delegation led by the Governor of Morobe Province, the Honorable Luther Wenge, as shown on the left, and in March, a delegation led by the Governor of the Eastern Highlands Province, the Honorable Simon Sia, shown on the right. Both visits received strong media coverage and included tours of the underground process plant, Stage 3 construction and a helicopter tour of our exploration areas. These visits also underscore our strong commitment to transparent stakeholder engagement and responsible mining. Moving on to exploration, we're drilling the Kora, Kora South, Judd, Judd South vein system from underground, plus the Arakompa vein system from the surface. At Kora, during the first half of the year, drilling has focused on increasing drill density at the twin-inclined mining front and above main mine ahead of Stage 3 expansion ramp-up. Recent drilling has delivered strong results, expanding high-grade zones and also intersecting near-mine infrastructure dilatant zones, as annotated in the long section here. Later in the year, a stronger focus is planned on drilling Kora Deeps at depth, while also continuing our step-out drilling to the south. At Judd, drilling results continue to extend high-grade mineralization uptick and above the main mine workings, as shown in the top black ellipses. Multiple high-grade results outside of the resource have also been recorded. Similar to Kora, Judd Deeps drilling is planned for the second half of the year. On February 20th, we announced the latest 13 holes at Arakompa, bringing the total number of holes drilled in the maiden program to 43 holes. A major highlight from the results was the confirmation of two significant high-grade veins, AR1 and AR2, which recorded a significant average true thickness of approximately 3 meters over large strike lengths of approximately 675 meters and 775 meters, respectively for AR1 and AR2. The veins have a strong high-grade drilling rate at plus 5 gram per tonne of 50% for AR1 and 42% for AR2, and plus 10 gram per tonne gold equivalent 28% for AR1 and 21% for AR2. To-date, step-out drilling has focused towards the south and we are nearing a major milestone in our exploration capabilities with the arrival of a compact heli-portable rig in June. This rig will enable drilling of the northern extension of Arakompa, which as shown in the ellipse is a large, highly prospective target area that also features a strong vector from artisanal workings. We see high potential for underground mining at Arakompa. The drilling results also extended the interpreted bulk tonnage zone approximately 150 meters south to a total strike length of 900 meters, vertical depth of up to 650 meters, and average true thickness recorded from drilling of approximately 48 meters. The bulk zone remains open in multiple directions and will also be targeted from the northern extension drilling as shown in the ellipse. We view it as a longer-dated project with the high grades the priority for the near-term mining. Arakompa's growth over the past year has been exceptional. The image on the left shows drilling as of February 2024, while the far right highlights our latest results just one year later. This progress has driven an increase in drilling activity from one rig at the start of 2024 to up to four rigs operating. Looking ahead, our surface drilling capabilities will be significantly enhanced with the arrival of the new heli-portable rig in June, a rebuild of one of our surface rigs entering production this month, and two additional rigs recently ordered. Lastly, we highlight the significant pipeline of highly prospective exploration targets. The colored icons indicate where we are currently drilling, and the black icons indicate where we plan to drill in the next 24 months. Upon delivery of the Stage 3 expansion, we expect not only a major inflection in our production and free cash flow, but also a significant ramp-up in our exploration budget, aiming to target many of these highly prospective targets concurrently. With that, Operator, we'd like to commence the Q&A session. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Ralph Profiti with Stifel. Please go ahead.
Ralph Profiti : Thanks, operator. Good day, John, David, and team. Thanks for taking my questions. The first one is whether you can help me reconcile some of the commentary around positive gold reconciliation. John, can you help us understand, by domain or by mining front, is this something that's evenly distributed between K1, K2 and Judd? It would be very helpful. Thank you.
John Lewins : Thanks, Ralph. I can't give you the precise breakdown between K1, K2, and Judd. It was spread across them and obviously was fairly significant. It was a high-grade area that – they were high-grade stopes that came out as higher grade, but I can't really give you the reconciliation between the individual ones.
Ralph Profiti : Okay, I understand. Maybe if you can address sort of some of the pinch and swell characteristics that are happening or contrasting that against maybe some selective mining on high-grade areas, that would also be helpful.
John Lewins : Sorry, how do you mean? Ralph sorry…
Ralph Profiti : Yeah. Thanks, John. I'm just wondering if you can talk a little bit about pinch and swell in some of these areas where you're getting the higher grades and where you're seeing positive reconciliation. Has that been a factor?
John Lewins : Pinch and swell hasn't really been a factor that we've seen. We generally get fairly consistent in terms of our widths overall. You do get often with these a central higher-grade section surrounded by lower grades.
Ralph Profiti : Understood. And if I can just ask a follow-up on plant performance. It seems like the design allowances allowed for the plant to perform very well just by optimizing that flotation reagent mix. And it doesn't sound like there were any large changes to things like grinding or the paste plant. I'm just wondering is that the right characterization of how the plant was able to respond to some of these higher grades and the reconciliation?
John Lewins : Yes, so in terms of grind, no. In fact, recovery is not grind sensitive. Probably grinding in the plant finer than we need to. It is - in part was changed to the reagent mix, and that's certainly been a contributing factor. Second thing is retention time, and that is fairly key, especially when you've got higher grades. Hence, reduction in throughput is directly designed to increase our retention time in the flotation. The other point I'd make is that we get a higher percentage of gravity recovery with higher head grades.
Ralph Profiti : Thanks, John. That's very helpful and well done.
John Lewins : Thank you.
Operator: [Operator Instructions] The next question comes from Andrew Mikitchook with BMO Capital Markets. Please go ahead.
Andrew Mikitchook : Hi, John. Thanks for hosting the call. Congrats on the strong quarter again. Any commentary on what you're seeing into Q2 in terms of this positive grade reconciliation? Is this partially or fully expected to extend into the current quarter?
John Lewins : Thanks, Andrew. We don't really expect to see any significant continuation of that positive reconciliation into the second quarter. It was mainly during the first half, first three quarters of Q1 that we saw it.
Andrew Mikitchook : Okay. And then coming back to this Stage 3, just to give us a sense of the trend, how did April perform in development meters compared to the record for March, which was 954 meters?
John Lewins : April would have been not quite as good as we saw in March. A couple of issues, but I think overall we're happy with the overall trend that we're seeing.
Andrew Mikitchook : Okay. And then the pictures and the flyover of the construction of the physical plant looks like its just advancing very quickly. I'm sure looking forward to seeing the commission in June. Is there any constraint in operating both mills in terms of power, water, anything else that we should be aware of? And specifically in my mind, I'm thinking is there a period of time where you can operate both at the same time and essentially find yourself, at – you know even without Stage 3 operating at full capacity, effectively at the 1.2 million tonnes per year run rate very quickly? Is that an option for you or is that the reality of what's going to happen?
John Lewins : Look, I think we'd say that obviously we can run both together. We've set up to be able to do that. The intent is very much to switch the old plant off once we're happy with the performance of the new plant and not trying to run them for any length of time to get additional throughput. If you recall, the critical path to achieving 1.2 million tonnes per annum has always been the mining side in any event. The plant actually is not even on the critical path. It's more about ramping up your underground production.
Andrew Mikitchook : And the - I think we talked about this earlier, but you said you're comfortable with the trajectory or the progress on underground development. You're expecting to see material progress in Q2 so that you're either on the way or in position to deliver the kind of throughput that's required for Stage 3?
John Lewins: Yes, that’s correct.
Andrew Mikitchook : Well, thank you. I've kind of monopolized this for a while. I'll let someone else ask questions.
John Lewins : Thanks, Andrew.
Operator: [Operator Instructions]. This concludes the question and answer session. I would like to turn the conference back over to John Lewins for any closing remarks.
John Lewins : Well thanks, operator. Thanks everyone for participating, attending our quarterly review. I'm still in Papua New Guinea, so it's a bit after 11pm here, a little bit ahead of time there. Look I’d say, obviously it's the best first quarter we've ever had, second best quarter we've had full stop. So we're obviously clearly very happy with the performance of the operation. In terms of Stage 3, again, very happy with the progress. As I think Andrew noted there, you can clearly see very, very significant progress in the drone fly through. So it's actually really getting to a really exciting stage where you can actually see the whole thing coming together. So, this is obviously a very exciting time for us. Certainly happy to see the gold price where it is. That's obviously helped us greatly. It's great to do records when you're getting record high gold prices as well. So we look forward to the next quarter and the report on the next quarter. So, thanks everyone for participating today.
Operator: This concludes the question-and-answer session. This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.